Operator: Ladies and gentlemen, thank you for standing by, and welcome to the SEI Fourth Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct several question-and-answer sessions with instructions being given at that time. [Operator Instructions] And as a reminder, today's conference is being recorded. I would now like to turn the conference over to our host, Chairman and CEO, Al West. Go ahead.
Al West: Thank you. Welcome, everybody. I’d like to begin this call on a sad note. Earlier this week, Rick Lieb, current Board Director and past employee of SEI passed away suddenly. Let’s honor his four years of contribution to the company with a moment of silence. Okay. Thank you. All of our segment leaders are here on the call, as well as Dennis McGonigle, SEI's CFO; and Kathy Heilig, SEI's Controller. I'll start by recapping the fourth quarter and full year 2015. I will then turn it over to Dennis to cover LSV and the investment in new business segment. After that each of the business segment leaders will comment on the results of their segments. And then finally Kathy Heilig will provide you with some important companywide statistics. As usual, we will field questions at the end of each report. So let me start with the fourth quarter and full year 2015. Fourth quarter earnings increased by 6% from a year ago. Diluted earnings per share for the fourth quarter of $0.48 represents a 7% increase from the $0.45 reported for the fourth quarter of 2014. For the year 2015, our earnings increased by 4% over 2014 earnings. Diluted earnings per share of the full year of $1.96 is a 6% increase over the $1.85 reported in 2014. We also reported a 4% increase in revenue from fourth quarter 2014 to fourth quarter 2015 and a 5% increase for the full year from 2014 to 2015. Now, also during the fourth quarter of 2015, our non-cash asset balances under management increased by $4.9 billion. SEI assets grew by $3.5 billion [ph], LSV's assets grew by $1.4 billion. For the year, assets under management fell by $3 billion, SEI’s assets grew by $1.3 billion and LSV’s assets fell by $4.3 billion. Finally, during the fourth quarter of 2015, we repurchased approximately 1.5 million shares of SEI stock at an average price of $52.78 per share. That translates to over $77.5 million of stock repurchases during the quarter. For the entire year, we repurchased approximately 6 million shares at an average price of just under $48.60 a share, representing just under $290 million of repurchases. Now, between our stock buybacks and cash dividends during 2015, we returned approximately $370 million in capital to shareholders. During the fourth quarter, we capitalized approximately $6.9 million of the SEI Wealth Platform development and amortized approximately $10.8 million of previously capitalized development. Turning to our sales, net new recurring revenue sales during the quarter was solid. Of the $27.2 million of net new sales events we generated during the quarter, $24.6 million are recurring revenues. Each of the segment heads will address their fourth quarter sales activity. And for the year, we sold $124 million in net new events of which $100 million were net recurring revenue events. As we look ahead at the start of 2016, the volatile capital markets promise to be a challenge. In addition, as you know, we made a decision to augment the resources we have on the SWP’s development, operations, installation and service teams, particularly those related to the Wells Fargo events. This extra allocation of resources are necessary to prepare private banking for the conversion of Wells Fargo Bank and other large and medium-sized banks and will allow us to migrate more banks from TRUST 3000 to SWP. In the fourth quarter, the Advisor team migrated a number of larger more sophisticated advisor clients to SWP. And then the success of that migration confirmed our processes, so that like-banking, the investment in SWP and its infrastructure will allow a more aggressive migration of clients from TRUST 3000 to SWP. Now, in the IMS segment, new investments are being made to prepare for the installation of large new clients. These clients are those we recently signed and those who are in late-stages of sale. And in the Institutional segment, our strong sales throughout the world serve as living proof to the strong market adoption of our differentiated fiduciary management solutions. The Institutional business also has a number of market segment opportunities we are now focusing on, the newest being fiduciary management of the client’s contribution plan. In summary, all of our business lines face significant headwinds due to the capital markets’ recent decline. We hope that abates, but regardless, we will follow through with our plan to invest in our strategic growth initiatives. And more than ever, I am encouraged by the feedback I receive from clients and prospects across our company’s target markets. Our reputation for delivery remains intact and the sales activities and events in all units confirm the positive feelings in our client bases. Now that concludes my remarks, so I will now ask Dennis to give you an update on LSV and the investment in new business segment. I'll then turn it over to the other business segments. Dennis?
Dennis McGonigle: Thanks, Al. Good afternoon, everyone. I will cover the fourth quarter results for the investments in new business segments, discuss the results of LSV Asset Management and a few other items of note for the company during the quarter. During the fourth quarter of 2015, the investments in new business segment continued its focus principally on two areas, the ultrahigh net worth investors segment and the development of a web-based investment services advise offering, coupled with the use of mobile technologies. During the quarter the investments in new business segment incurred a loss of $4.5 million, which compares to a $3.8 million loss during the fourth quarter of 2014. The uptick in loss represents our increased spending on our web-based advice solution. We do not expect any material change in this segment toward the year. Regarding LSV, our earnings from LSV represent our approximate 39% ownership interest during the fourth quarter. LSV contributed $32.1 million in income to SEI during the quarter. This compares to a $35.3 million contribution for the fourth quarter of 2014. During the quarter asset balances grew by approximately $1.4 billion due to increased market valuation, offset by negative cash flow during the quarter. Revenue was approximately $101.3 million of which approximately 6% was performance fee related. Corporately, during the quarter, our tax rate benefited from state tax work resulting in a refund of approximately $3.7 million. In addition, as I have referenced in prior calls, stock-based compensation expense during the fourth quarter of 2015 increased $1.9 million, primarily from the acceleration of expense recognition for stock options that achieved performance vesting targets earlier than originally estimated. Also you’ll note on the earnings release, we mentioned the move to our new London office. This increased our cost during the quarter $1.6 million due to supporting both the new and old locations during the period. I will now take any questions you have.
Operator: [Operator Instructions] Our first question comes from the line of Chris Donat of Sandler O'Neill. Your line is open.
Chris Donat: Hi, good afternoon. Thanks for taking my question. Al, just wanted to ask you about the additional investment spending around services, is this something that you expect to go on for a couple quarters, or several quarters, or is it done? Just trying to gauge how much and for how long we should expect some elevated expenses.
Al West: Probably at least two years. It will ramp up during 2016 and then hit a high and then hopefully, we will be able to ramp back down.
Chris Donat: Okay. Those are fillers, and it's tied to the migration. So once migrations are complete, then it will likely abate a bit?
Al West: That’s correct. But it is also for new clients as well, our new clients on SWP. While Wells Fargo is a client, they are acting like or we’re treating them like brand-new client with a very extended conversion period.
Chris Donat: Understood. Okay, thank you.
Operator: And the next question comes from the line of Chris Shutler of William Blair. Your line is open.
Chris Shutler: Hey, Dennis, good afternoon. So could you call out what the LSV flows were in the quarter, and did capital gains not reinvested impact that number at all?
Dennis McGonigle: Their flows were - their cash flows are negative just a little bit over $1 billion. And most of that was from existing clients just reducing our position, and not so much from - they lost a couple of accounts, nothing significant.
Chris Shutler: Okay. And the pipeline there, any color on how it looks from your perspective?
Dennis McGonigle: Well, what the market takes away and some of their products opens up capacity, so I think their ability to sell unfortunately improved in certain areas. But overall, they continue to pick their large cap strategy, they continue to have success selling, so they did add new clients during the period. They continue to have good success outside the US and as their performance, it continues to hold up even in the - even with the challenge of value investing is - value segment of markets been under, particularly throughout the entire year, frankly at this point. So I think they are - they feel like they continue to grow through the addition of new clients.
Chris Shutler: Okay, great. And then the - maybe just remind us on the performance fees, the outlook for Q1 there, how it typically trends.
Al West: Q1 is usually on the lower end of the spectrum. The bigger quarters are usually Q2 and Q3.
Chris Shutler: Okay, thank you.
Al West: You’re welcome.
Operator: [Operator Instructions] Our next question comes from the line of Robert Lee of KBW. Your line is open.
Robert Lee: Great, thanks. Good afternoon, everyone. Good afternoon, Dennis. A quick question just on the move within London, I just want to make sure I understand it. In the quarter, you had some moving costs and were paying I guess two rents. And then you mentioned starting, I guess, in ‘16 there will be $700,000 a quarter of expenses related to the new location. Is that - I guess it’s that's $700,000 over and above what you were paying for the last, it's not like that's $700,000 and then there's some other expenses that fall away, or - I just want to make sure if that step up -
Dennis McGonigle: Yes, $700,000 over what we are paying for the old facility. So the old facility - it rolled off January 1. And if you take that 1.6 out and add 700.
Robert Lee: Okay, great. That’s helpful. And then just kind of curious, I think in the commentary, you mentioned that LSV impacted a little bit I think in the quarter, both with some personnel costs and what not. Is there - can you maybe update us something, anything going on at LSV in terms of maybe are they going through a period of expansion or ramping up personnel costs, or anything that may pressure their margin a little bit, aside from market movements, just pressure in their expense levels?
Dennis McGonigle: Well I didn’t mention that in commentary, but I’ll accept it as a question, and over the course of the year - it really started in 2014, they started to look at their competition structures that were their employee base, and it started to - I guess, the simplest word will be improve - say, they improved those competition structures, and we’re obviously one of the larger partner, outside partner, we certainly support that because maintaining and retaining key talent is important to sustaining and growing the firm. So that’s had an impact on our net profit take because of the impact of their cost of operations if you will. And part of that’s in lieu of the fact that transferring partnership ownership interest is a little bit - is always a little bit more challenging, so rather than attacking the problem through partnership, continued partnership distributions, they have done it more through just straight-up compensation.
Robert Lee: Okay, great. That was it. Thanks for taking my questions.
Dennis McGonigle: You’re welcome.
Operator: And we have not further questions in the room currently.
Presentation:
Al West: Thank you, Dennis. I am going to turn it over to Joe Ujobai to discuss our Private Banking segment. Joe?
Joe Ujobai: Okay, thank you, Al. I will start with an update on the fourth quarter and full year financials for the Private Banking segment. Fourth quarter revenue of $113.7 million were down slightly from the third quarter. 2015 annual revenue of $456,500,000 is up 3.5% from 2014. Quarterly profit of $11 million is down slightly from the third quarter. 2015 annual profit of $45.5 million is up 9% from 2014. Revenue and profit for the quarter were impacted by lower investment processing one-time revenue and market volatility in asset based businesses. Revenue and profit for the full year benefited from growth in investment processing and asset management recurring revenue while we continue to invest in the build of the SEI Wealth Platform. Net sales events for the quarter were $3.7 million of which $2.2 million is recurring investment processing revenue. Included in the quarterly sales event number is a newly signed SWP client Mass Mutual Trust. Mass Mutual will convert from a competitive system and will be consuming the full complement of SWP services in the BSP delivery model. Net sales events for the year were more than $47 million, of which 55% is recurring revenue and 45% non-recurring revenue. As you all know during the summer, we reached an important milestone in our business with the signing of Wells Fargo Bank to convert to the SEI Wealth Platform. We have been hard at work with Wells from even before the contract was signed on the conversion program. In the US, we see momentum with SWP prospects both with current TRUST 3000 clients and new business opportunities. In the UK SWP business, we focused on growing and proactively re-contracting our clients as well as progressing the sales pipeline. We’re continuing to experience organic growth from our client base. Net cash flow from current UK clients to SWP was approximately $1 billion for the quarter and $5 million for the year. UK assets under administration now exceed $37 billion dollars. During the year, we re-contacted many of our clients including key firms such as BRUIN's, Tilney Bestinvest, True Potential, Fusion and Towry. We are working to re-contract the rest of this year. In our asset management distribution business, assets remain relatively flat from the third quarter at $18.1 billion. Market volatility has impacted cash flow. Overall, I'm pleased with the process we made in 2015 and we will continue to execute our strategy in 2016. To grow the private banking business we remain focused on the following areas. Number one, executing the Wells Fargo Bank conversion plan. This includes the continued build out of scale on the platform for Wells Fargo and other large prospects, the build towards our software-as-a-service delivery model as well as client conversion and change management programs. Number two, is progressing sales activity in all our businesses. We are encouraged by our progress with important prospects for both our SWP and the asset management distribution businesses. And finally growing our current clients. We are also focused on helping our current clients grow their business and convert additional books of business to all of the SEI solutions. In summary, as we implement Wells Fargo and sign and install other large prospects, we will continue to make investments in our SWP offering to meet the market opportunity. Much of that investment is occurring ahead of revenue - of recurring revenue recognition. Market headwinds will also impact profitability as some of our revenue as you know is asset based. Finally, quarter-by-quarter will be variable while we are making progress in executing our strategy. At this time, I will take any questions.
Operator: [Operator Instructions] Our first comes from the line of Tom McCrohan of CLSA. Your line is open.
Q - Tom McCrohan: Hi, Joe and condolences to everyone on Rick Lieb's passing. Joe, in terms of the margins for the quarter, can you kind of parse out how much of the decline was from incremental investments to market sensitivity? Is there any way to kind of quantify those two impacts?
A - Joe Ujobai: As I mentioned, the revenue went down a bit because we had little less one-time revenue in the quarter and we saw some other - some hit to our revenue that’s associated with assets under management, our mutual fund trading business. So we had as you know a little bit of revenue down tick in the quarter. And then the - well on expense side, it was largely due to continued investments in the platform. We are investing in a couple of areas, so we’re surely building out more software to scale the back office and to deliver sort of highly value-added front-end services. We are investing in hardware and software infrastructure as we look to bring on a lot more clients. And we’re also investing in other services that we think are valuable and that can drive revenue and profit for us around like a risk-related services like enhancing the DR capabilities, enhancing information security. So there is investments across the board and that really is probably the bulk of the increase in expense.
Q - Tom McCrohan: And do you believe these investments need to be completed before we convert additional prospects in the pipeline?
A - Joe Ujobai: Before we covert say the large prospects or before we convert the large clients like Wells, I think that the prospects are aware of our commitment to these investments and that helps in the sales process.
Q - Tom McCrohan: And has the market volatility impacted at all in any way in the conversations you’re having with your prospects?
A - Joe Ujobai: Not really, not yet. I think certainly it distracts people but we're not talking about a situation like we had in 2008 and 2009. Hopefully things will stabilize and time will tell, we can't predict what the market is going to do.
Operator: Our next question comes from the lie of Glenn Greene of Oppenheimer. Your line is open
Q - Glenn Greene: Thanks. Good afternoon, Joe. Just a few questions. First one maybe on the Mass Mutual win. Could you just give us a sense for asset size, and a little bit of color behind the decisioning, and where they were, and how it ultimately came to be that they made the decision to flip from somebody else to you?
A - Joe Ujobai: I can’t give the asset size because we are under confidential agreements with our clients but I can tell you that as we are rolling the sales out in the US and even in the UK we are looking at I would say some non-traditional opportunities for us. So as you know they’re large insurance company and they have in the last couple of years focused more heavily on wealth management. They've identified that MassMutual Trust with the channel that they distribute, they use for distribution to higher net worth clients with inside their firm. They put some strategic focus on that, they had grown the business over the last couple of years and came to the decision that they wanted a more robust infrastructure. So they moved from competitive solution that was a BSP service run by again a large bank competitor and they felt that the SEI Wealth Platform would best meet the needs of their growth strategy.
Q - Glenn Greene: Then as it relates to the Wells Fargo integration, you're probably well into it now and obviously a long time to get it completed. But I guess the observations, which you've kind of you know any surprises as you've gone through it? Or is it kind of moving along as you thought? Obviously we’re early on in this.
A - Joe Ujobai: Absolutely, we are really early on although we did start this before the contract was even signed. But I think we are meeting the milestones but we have a lot of work ahead of us but I think so far so good. And as you know they are a long-term partner of ours and I think that makes the situation that we believe will be very successful over time.
Q - Glenn Greene: Maybe just at a high level, some color commentary regarding the market and the response to the Wells deal, from both an existing client, large clients that you have, their desire to maybe make the decision to convert to SWP at some point sooner rather than later. And also prospects that are new logos potentially to you, has it been sort of a wake-up call?
A - Joe Ujobai: Sure they’ve been a positive impact to prospects as well as to current clients that may haven’t been considering it to happen quickly. So our conversations have certainly elevated across the board both with prospects and with new name. It will still take a long time to sign contracts but it does make the move towards SWP a lot more eventual for our clients.
Q - Glenn Greene: And then just a final one real quickly, directionally, the level of profitability from the AMD business in the quarter?
A - Joe Ujobai: Let me look at that real quick. I think pretty flat. So, we ended the year down, we had a tough cash flow quarter, we had a better - we had a pretty solid cash flow quarter in the first half of the year, we had tougher cash flow quarter in the second half of the year, a lot of that underlying expense is related to revenue with sub-advisor, so I think we’re pretty flat.
Q - Glenn Greene: You mean flat in terms of year-over-year profitability from a full-year perspective or Q-to-Q?
A - Joe Ujobai: Yes, yes. For both really and for year-over-year and from quarter-to-quarter. We have invested also in that business by building a stronger sales force because as we talked about over the past several calls, we think there is a huge opportunity for us. So again, some of that investment of the build out of the sales force occurs before current revenue kicks in.
Operator: The next question again will come from the line of Robert Lee with KBW. Your line is open.
Q - Robert Lee: Just curious on the re-contracting in the UK kind of curious what your experience was, since this is I guess in some way is really the first round of re-contracting those clients. I mean, kind of how did you find the pricing experience and did kind of the things you’re pricing off of actually change to maybe more or less asset-based now that you’ve all you know both sides have lived with the contracts for a few years? Just kind of curious what the experience was?
A - Joe Ujobai: I was expecting that question, so that’s something I've been looking at over the last several months. And it really sort of is a case-by-case basis, so I'm pleased with the contract terms and rates - the re-contract terms and rates. And in fact we were proactive, some of these contracts weren’t expiring but we felt that it was good to go out and do a couple of things. In some cases, our clients got acquired by other clients, so Towry has purchased a couple of our clients. So part of that we wanted to do was clean up contracts and simply things. In some cases we’re able to sell new services that didn't exist when we first negotiated the contract. In other cases, we were able to get extended term, additional books of business committed to us. And so I think overall, I'm quite pleased with the outcome of that proactive re-contracting and I think that the value of our service has over these last several years really proven itself in the market.
Q - Robert Lee: Would it be fair to say that, everything being equal, I mean I know for example, for many years TRUST 3000 they were - definitely through some re-contracting cycles there was some fee pressure and stuff. So did you - obviously this is different. But all in all, it was existing clients. It wasn't like you're seeing revenue hits at existing clients. It was maybe more -
A - Joe Ujobai: There is always fee pressure and again it’s a case-by-case basis. And so when there is fee pressure we try to elevate that again by contacting for additional books. In some cases actually changing the service model, so there are certain things that over time we recognized caused us more money to do. The example is the different asset types and number of asset types in the portfolios. So we certainly learned from all of that, we try to understand the profitability of each account, and we entered each re-contract knowledgeable about that but I think overall I'm pleased with the outcome and we are able to really combat most of the fee pressure through other levers.
Q - Robert Lee: I know the cash flows from that business remain pretty positive. I'm just curious. Is there any kind of metric around kind of books of business, size of books of business that you're expecting to convert over the next two years that are - from those clients?
A - Joe Ujobai: So, the organic growth of these clients historically has actually been pretty good. And so, I'm pleased with that. We talked in the beginning about clients that converted to small part and then had to take more time to convert their whole book. For the most clients that’s turned out pretty well and again, that sort of evened out amongst the client base, so we see growth there. And again as the platform has matured, there are other areas of business that may not have been as obvious to convert. We are now able to go in there and get commitments to convert whole books of business. So again, I’d always think more but I think in general we are making progress and I think it's the confidence that the clients there have in us as their partner as well as the quality and the services we provide.
Q - Robert Lee: Thanks for being patient; just one last question on the cash flows from the asset management business. I know you said they were pretty negative. Is it possible to just quantify what the number was in the quarter?
A - Joe Ujobai: I think we are down couple - $200 million, $300 million. And I think in the third quarter I said to you that we saw some cash flow slowdown in emerging markets and non-US and a pretty significant portion of our business is outside of the US. We saw that more broadly across the book in the fourth quarter particularly as some of the higher net worth investors sort of went to the side. But again, we got a strong sales force and we have long-term relationships with a lot of these clients. And I think this is an important business for us and a growing business for us going forward.
Operator: Thank you. Then the last questioner in the queue is Chris Shutler, please go ahead.
Q - Chris Shutler: Just one; I just wanted to ask about the expenses and the comment earlier that we should expect expenses to rise over the next few years, which isn't shocking by any means. But can you give us any more color on how we should think about the magnitude of that expense increase, and I guess the incremental professional services or one-time revenue that should come along with that, which would I think offset, more than offset some of that expense? Just trying to get a sense of looking out a couple of years whether margins in this segment should be higher.
A - Joe Ujobai: Yeah, I think looking out over extended period of time we fully expect margins in the business to be higher and we are seeing that, for example, as we look at our UK business and as we have a pretty solid solution that meets the needs of the current clients and a lot of the prospects, so we are seeing improvement there. So I feel good that we know how to do this. I think that the investment that you are going to see over the next couple of years is, as I said, tied to a couple of things. There is some investment that is tied to the actual conversion of clients and some of that can be covered by these one-time professional services fees, but we are investing in I think longer term commitment to the business. And I mentioned earlier scaling the back office, building out the higher added value frontends, but some of that will get funded by clients as they help us enhance and evolve the solution. Again, investing in scale around the hardware, so we expect to run over time millions of accounts, not hundreds of thousands of accounts and there is ways for us to drive scale and we have to invest in that before recurring revenue occurs. Again, new services like advanced disaster recovery, more robust data security, in some cases we can charge discretely to the clients for that. So these are all investments I think that ultimately certainly grow our revenue and get us back to this profit margin we had become accustomed to. It’s really hard to predict the exact timing of that, but I think that the opportunity in the market certainly warrants the investment we are making.
Q - Chris Shutler: All right, thank you.
A - Joe Ujobai: Thanks.
Operator: And there is one more in the question queue. Tom McCrohan, your line is open.
Q - Tom McCrohan: Just as a follow-up in connection to the investing that's occurring, are any of these investments that you are making tied to commitments or incremental commitments from prospects or existing clients like, for example, Wells agreeing to migrate more portfolio assets onto the platform if certain investments are made?
A - Joe Ujobai: The commitments are really tied or the investment is really tied to having a large business with global wealth management - inside the global wealth management segment and so there are commitments being made around software-as-a-service versus the BSP model that we initially delivered to clients in the platform. There are commitments around our clients and prospects scaling their business and there are certainly commitments around entering new opportunities like insurance and higher net worth clients and non-trust, non-fiduciary clients inside of our prospect base. I think be mindful, we are managing expense very tightly and when we make these investments, these investments are tied to the opportunity to grow revenue and to get back a bigger margin and so evaluate every one of those investments very carefully before we make it.
Q - Tom McCrohan: Okay, thanks.
Operator: And the next question comes from Patrick O'Shaughnessy. Please go ahead.
Q - Patrick O'Shaughnessy: Hey, good afternoon.
A - Joe Ujobai: Hey, Patrick.
Q - Patrick O'Shaughnessy: One quick question from me to follow up on these expense questions that you've been getting. Is it conceivable, given the market headwinds and given the investments that you are making that segment operating margin could be down in 2016 versus 2015?
A - Joe Ujobai: Yeah, absolutely that is conceivable.
Q - Patrick O'Shaughnessy: All right, thank you.
Operator: And with that there is no other questioners in the queue, please continue.
End of Q&A:
Presentation:
Al West: Thank you, Joe. Our next segment is Investment Advisors and Wayne Withrow will go over this segment. Wayne?
Wayne Withrow: Thanks, Al. In 2015, our sales momentum continued as we received $5.1 billion in net positive cash flow including $1.5 billion in the fourth quarter. Our net cash flow in 2015 represented our best year since the year 2000. Revenues were $307 million for the year while fourth quarter revenues totaled $79 million. Fourth quarter revenues were $2.4 million better than the third quarter of 2015 driven by net positive cash flow and market appreciation. Our quarterly improvement of $5.7 million from the fourth quarter of last year was driven solely by positive net cash flow. Expenses were up in the fourth quarter versus both last year’s fourth quarter and third quarter of this year. Increased expenses associated with our growth as well as increased cost associated with SEI Wealth Platform was the primary driver of these increases. From a profit perspective expense growth outpaced our revenue growth resulting in a slight decrease in profits from last year’s fourth quarter. Reinvestment to support current as well as future growth opportunities together with increased development and migration cost for the SEI Wealth Platform drove our increase in expenses. We continue to invest where we see opportunity even if this investment comes before the revenue growth we expected to yield. Assets under management were $51 billion at December 31 an increase of $2.4 billion from September 30. The increase was due to net positive cash flow aided somewhat by market appreciation. Year-over-year our assets grew by $4 billion and this was driven by net positive cash flow offset slightly by negative markets. During the quarter we recruited to 288 new advisors bringing our total for the year to 885. Our pipeline of new advisors remains strong. As some of you are aware, one of our competitors, Curian Capital decided in the summer of this year to exit the business. While we had not actively recruited all Curian advisors, we have sought out those that meet our profile. During the third and fourth quarters of this year, we signed 195 new Curian advisors and brought on approximately $1.3 billion in assets from the Curian affiliated trust company. We are still seeking to grow Curian advisors. For 2016 we will concentrate on three main areas. First, we are focused on the rollout of the SEI Wealth Platform. In 2015 we converted our first non-beta clients. We expect to convert two larger tranches of clients in 2016. Second, we will continue to focus on new advisor recruiting and growing those advisors we have on our platform. Third, we will work to continue add net positive cash flow. To this end, we are planting additional seeds by creating new sales territories and adding additional sales resources in 2016. They will take 6 to 18 months to develop. For example, in 2015, we saw positive results from the addition of sales resources we added in 2014. In summary, 2015 reflected our continuing growth. Our goal in 2016 is to accelerate the SWP rollout while increasing our sales force and respond to the net positive cash flow we have been building. Turbulent capital markets and the upfront investment required to achieve these goals may make near term results challenging but we are confident in the long term opportunity in front of us. I now welcome any questions you have.
Operator: [Operator Instructions] And we will go back to the line of Chris Shutler. Please go ahead.
Q - Chris Shutler: Hey, Wayne, how are you.
A - Wayne Withrow: Good.
Q - Chris Shutler: Good. So, revenue in the quarter looked really good, up 8%, expenses kind of continuing the theme, were elevated. Can you just help us think through what percentage or to what extent the expenses were higher due to incentive comp associated with the strong recruiting results, and how much was SWP or other spending and how those should trend going forward?
A - Wayne Withrow: Yeah, what I would - I think the bigger driver was increased compensation expense and increased expense associated with just the activities to support new business. The Wealth Platform expenses were definitely up, but they were not quite as big as in the other area. Coming out of the year, and we sort of reset goals and we would reset how we would expect those sales comp, incentive comp numbers would be earned. But we do expect to see additional Wealth Platform expenses go into next year.
Q - Chris Shutler: Okay. And then thus far in January can you just give us a sense of what you are seeing advisors doing so far given the market volatility? Has there been any rotation into fixed income or cash that you've noted that might impact the net new assets or fee rate?
A - Wayne Withrow: I guess what I would say is, keep in mind, this is basically a three-week sample since the year started January 4.
Q - Chris Shutler: Understood.
A - Wayne Withrow: So I would say, we are seeing slowdown somewhat cash flows, people spend around and see what’s going on against the three week sample and I wouldn’t want to draw any long term conclusions against that.
Q - Chris Shutler: Okay, thank you.
Operator: Next we will go to line of Tom McCrohan. Please go ahead.
Q - Tom McCrohan: Hey, Wayne, in terms of the plans for 2016 and the two other conversions that you are planning that are going to be larger than I guess the one you just completed in October, I think the one in October you said was $2 billion, I think, in assets. Can you size out the dollar amount that's going to be converted in ‘16?
A - Wayne Withrow: Well, without getting into exact numbers I think that the October, end of September in terms of how you look at conversion was about $2.5 billion and I think our first conversion in April we expect it to be 60% bigger than that.
Q - Tom McCrohan: Okay, thank you.
A - Wayne Withrow: Roughly.
Operator: And next we will go to the line of Glenn Greene. Please go ahead.
Q - Glenn Greene: Thanks. Good afternoon, Wayne.
A - Wayne Withrow: Good afternoon.
Q - Glenn Greene: I guess the first one, on the Curian advisor base, you've obviously been at this for a couple quarters. I guess the question is sort of has the low-hanging fruit been picked or is there still ample opportunity both the advisors and the assets to come over, potential?
A - Wayne Withrow: The way I would look at it, they are sort of signing a new advisor and then as we sign the new advisor we continue to work the new advisors actively and they tend to be very active with us for probably two years after they sign their first account. So there is still opportunity for us with the Curian advisors especially in growing those that we have already signed, and that’s where we are actively working on.
Q - Glenn Greene: And then when we get these two new tranches converted over to SWP, give us a sense for like what proportion of your book of business will be converted to SWP and more importantly, when are you going to be more actively assigning new advisors to SWP? Is that still sort of an early 2017 time frame?
A - Wayne Withrow: We would expect with some new advisors on, not all new advisors, but we would expect to put some new advisors on at the beginning of the end of this year and I think we are actively - we expect to have everyone increasing conversions, so I would - April is going to be bigger than October, we would expect next October would be bigger than April. We are ramping up the resources, ramping up capacity, that’s part of the investment to get us over with the platform.
Q - Glenn Greene: Yeah. What I'm trying to get at is, is 2017 really like the turning point where all the technology and the capability that you've desired and will have for SWP strategically to go after a new tranche or perhaps bigger advisors, you'll have the capability help sort of heading into 2017 to go after that like you targeted?
A - Wayne Withrow: Yes, I mean, we are - at this point, we are converting our largest advisors first and we are confident doing that. That’s where we see the opportunity, both for cross-selling them and growing the business.
Q - Glenn Greene: Okay, thanks.
Operator: Thank you. Then with that, there is no other questioners in the queue, please continue.
End of Q&A:
Presentation:
Al West: Thank you, Wayne. Our next segment is the Institutional Investor segment. And as you are aware this report will be the last for Ed Loughlin since he retires at the end of the month. I want to turn it over to Ed to discuss this segment as usual, but at the end of the update, we will introduce the new head of the Institutional Investor segment. And so for one last time, Ed?
Ed Loughlin: Thanks, Al. Good afternoon everyone. As usual, I want to discuss the financial results for the fourth quarter as well as the entire year. Fourth quarter revenues of $73.5 million decreased 1% compared to the third quarter of 2015. Capital market performance during September and December negatively impacted revenue for the fourth quarter compared to the third quarter. As you know, institutional business generates revenues in a variety of currencies. The weakening of the pound, the euro and the Canadian dollar against the US dollar, negatively impacted revenue by $1.3 million for the full year. Full-year revenues approaching $298 million increased 5% compared to the year-ago period. New client funding and market appreciation contributed positively to revenue for the annual period. Quarter-end asset balances of $75 billion reflect a $1.6 billion increase compared to the third quarter. Net new client funding of $1.4 billion helped overcome the drag of negative market performance during the quarter. The unfunded client backlog at year end was $1.2 billion. Fourth quarter operating profit of $36 million decreased 3% compared to the third quarter of 2015 and increased 5% for the year, totaling $152 million. Fourth quarter margins were 49%, a 1% decline from the third quarter of 2015. Margins for the full year were 51%, remaining flat compared to the full year 2014. Client signings for the fourth quarter were $1.2 billion and totaled $6.6 billion for the year. We’re pleased with the continued growth of our fiduciary business, and especially in the UK with the signing of several larger clients. Our fiduciary management program for defined contribution plans continues to gain traction and we saw the signing of a larger DC plan during the year. Our new clients were well diversified by geography and represented all of our market segments. Our focus for 2016 is in three areas, continue to build globally diversified institutional client base, continue to provide clients with value added advice and discretionary services and place increased emphasis on defined contribution fiduciary management sales opportunities. Emerging favorable trends towards engaging a fiduciary partner to manage a defined contribution plan like a defined benefit plan represents a growth opportunity for SEI. Our pipeline remains strong and we’re optimistic about the continued opportunities in the institutional space. In closing, it's been my pleasure working with each of you and I thank you for your support and wish you continued success. I'm happy to entertain any questions you may have, but from my end, that's a wrap.
Operator: Thank you. Then, next questioner will be Chris Donat. Please go ahead.
Q - Chris Donat: Hey, just for old times' sake here, I wanted to ask you one question on -
A - Ed Loughlin: Come on, Chris, I thought I can count on you for no questions.
Q - Chris Donat: I was going to; but then you made the comment about FX, and it begged the question. Just curious if, since you mentioned exposure to the pound, the euro, and the Canadian dollar on the revenue side, do you have similar exposure on the expense side or is it a little different? Are most of your expenses in dollars?
A - Ed Loughlin: They're mostly in dollars.
A - Dennis McGonigle: Yeah. It's a little more muted.
Q - Chris Donat: Got it. Okay.
A - Ed Loughlin: Chris, my replacement loves to answer questions. So just kind of write him down throughout the quarter.
Q - Chris Donat: I've got a long list.
A - Ed Loughlin: Okay.
Q - Chris Donat: I wish you well, Ed. I wish you well.
A - Ed Loughlin: Thank you very much.
Operator: Thank you. Then next, we'll go to line of Robert Lee. Please go ahead.
Q - Robert Lee: Hey, and Ed, congratulations. I want to wish you the best of luck in your next chapter.
A - Ed Loughlin: Thank you, Rob.
Q - Robert Lee: It's always been a pleasure dealing with you. So I'm not sure if this is appropriate for you or your replacement, but one of the things I'm kind of curious about is, obviously the DC market has been a focus for the last year or so. You had, I guess, the decent win earlier this year. I'm just kind of curious how you position yourself, because there is a lot of I guess traditional managers and others who have kind of tried to position themselves as - I guess I would call it glide path managers. And I know it's maybe not exactly the same thing that you're selling. But I'm just trying to - curious how you're approaching that business differently than what we're seeing, whether it's - I don't know - to throw names out, a BlackRock or an AllianceBernstein or whoever may be out there trying to pitch some of that business.
A - Ed Loughlin: Sure, sure. Well, I guess, like from our perspective, where we see managers trying to position themselves as glide path managers, many of those are in the DB space where they’re trying to help a client with a less aggressive asset allocation as they get better funded. In the DC space, the opportunity that we see is that there is a fair amount of visibility about fiduciary responsibility in the DC space, because unlike the DB space, there can be a lot more lawsuits. Some of them are real, some of them are frivolous, because they are brought by participants. So the more that the whole idea of who is the fiduciary is a question that has to be answered, I think then there is a need for service. What we see and we certainly have, we have target date funds that have the glide path that are age appropriate, but we see bigger opportunity for us to be able to create custom target date funds for the clients and custom-wrapped simpler solutions, the US equity or - and global equity kind of a selection for a participant that has combined US, large and small international emerging markets. So it's one selection, but we would start to serve as a fiduciary for that. So we have the glide path covered in both of those particular areas, I wouldn't say that's the positioning, I think the positioning is more, we’re going to stand as a fiduciary. DB results have always kind of done better than DC results because of those plans, the DB plans are better diversified and they are longer term type of an investor. And so they have had better results. So as a fiduciary, we would strive for that.
Q - Robert Lee: Great. That was it. And again, congratulations. I hope you are getting away from the snow and settling somewhere nice and warm and best of luck.
A - Ed Loughlin: Thank you.
Operator: [Operator Instructions] Allowing time for participants to queue up. There are no more questions at this time.
End of Q&A:
Presentation:
Al West: Thank you, Ed. That was terrific as usual. Ed’s successor is Paul Klauder. Paul has been with SEI for 22 years. In 20 of those years, he has been in the institutional investor segment where he has been an important contributor to the success over the years. And so, most recently, he has been served as Head of Sales and he is an able successor to Ed. Paul is with us today and Paul?
Paul Klauder: Good afternoon, everyone. I am Paul Klauder and I have some big shoes to fill, but I look forward to expanding on the success that Ed has brought this segment for so many years. I also look forward to meeting you and working with you in the coming quarters and coming years. Thank you.
Ed Loughlin: I'll take one question.
Al West: No more questions for Ed. Our final segment today is investment managers. I'm going to turn it over to Steve Meyer to discuss this segment. Steve?
Steve Meyer: Thanks, Al. Not sure how to follow what that, but good afternoon, everyone. For the fourth quarter 2015, revenues for the segment totaled $68.2 million, which was $1 million, or 1.5% higher as compared to our revenue in the third quarter of 2015. This quarter-over-quarter increase in revenue was primarily due to new client fundings and implementation fees. For the full year of 2015, revenues for the segment totaled $268 million, which was $16.7 million or 6.6% higher as compared to our revenue for the year ago period. Our quarterly profit for the segment of $22.7 million was approximately $500,000 or 2.3% lower than the third quarter of 2015. This decrease in quarter-over-quarter profit was primarily driven by an increase in sales compensation for the fourth quarter, as well as an increase in our operational investment expense. Our full-year profit for the segment of $95.9 million was approximately $3.7 million or 4.1% higher than the annual profit of 2014. From a profit perspective, expense increased ahead of revenue expansion this year to support both current growth and increased investment to support future growth opportunities. Third-party asset balances at the end of the fourth quarter of 2015 were $390.3 billion, approximately $14.1 billion or 3.8% higher as compared to our asset balances at the end of the third quarter 2015. The increase in assets was primarily due to market appreciation of $13.5 billion and new client fundings of $600 million. In turning to market activity, during the fourth quarter of 2015, despite market volatility, we had a strong sales quarter. Net new business sales events totaled $12 million in annualized revenue. These events include new name wins across all our market segments, including a large alternative manager takeaway from a competitor and several private equity outsourcing mandates won in a competitive process. Additionally, we secured a full middle and back office outsourcing mandate from an international manager who previously performed these functions internally. As we enter 2016, we will look to focus on several key areas. First, we will focus on continuing our sales momentum with new name sales and growth of existing clients. Additionally, we will look to continue our success with the larger end of the market. Second, we will focus on implementing the new business that we have won and look for opportunities to grow with these clients. Third, we will look to further expand our market segments and opportunity for growth. We've seen early success in a few new markets and believe there are additional opportunities to expand our reach. Fourth, we will continue to invest in and expand upon our solutions. For example, we continue to see expanding opportunity in our global regulatory and compliance platform as well as the private equity markets. We will aggressively pursue these opportunities. In summary, while 2015 was marked by a volatile market and increased expenses ahead of revenue, we continued our growth momentum, especially with new sales. We look to carry that momentum into 2016, while continuing to build out for the future. Despite the market challenges, we see steady demand for our solutions and we remain optimistic on the opportunities for future growth. That concludes my prepared remarks and I’ll now turn it over for any questions you have.
Operator: [Operator Instructions] And we'll go to the line of Glenn Greene. Please go ahead.
Q - Glenn Greene: Hey, good afternoon, Steve. So really good sales here. We know sort of revenue growth decelerated this year, and so I guess what I’m trying to get at is the momentum we’ve seen on the sales side. Should we start to see an acceleration on the revenue growth going into 2016? And then related to that, are we still sort of comfortable with sort of a mid-30% margin sort of parameter?
A - Steve Meyer: You don't disappoint me, Glenn.
Q - Glenn Greene: Good to hear.
A - Steve Meyer: So, yes, I would consider with the sales we had, we would expect all things being equal for revenue to increase. I’d say one of the things that when we look back 2015, Glenn, that hurt us a little bit, there were a number of liquidations in especially the alternative side of the market and the unfortunate thing with liquidation is you have funds closing or large redemptions out of funds, they tend to happen right away. So the net effect of revenue and the negative effect happens immediately. The new sales, as we’ve talked about and as we know, tends to take longer time to bring in. So obviously that gave us a little bit of headwind last year. Hoping that headwind dies down this year and with looking at the sales success, all things being equal, I would look for revenue to increase. On the margin question, what I would say is, I still feel comfortable looking at the long-term. As I've said before, this business should be in the mid-30s margin. However, I am not managing it for that quarter-over-quarter. We’re making investments, which we believe are important for the long-term and long-term sustainable growth and we’re not going to dissuade from those investments we feel is best for the long-term.
Q - Glenn Greene: Okay, great. Thanks.
Operator: And with that, there is no one else in the question queue.
End of Q&A:
Presentation:
Al West: I would now like Kathy Heilig to give us a few companywide specifics. Kathy?
Kathy Heilig: Thanks, Al. Good afternoon, everyone. I have some additional corporate information about this quarter. The fourth quarter cash flow from operations was $117 million or $0.69 per share, bringing year-to-date cash flow from operations to $391.5 million. Fourth quarter free cash flow was $101 million and year-to-date free cash flow was $317 million. For the fourth quarter, capital expenditures, excluding capitalized software were $8.7 million. Total capital expenditures for 2015 were $44.5 million and we would expect that to go down a little bit next year. This year, of course, we did some facility work over in London. The tax rate was noted on the release, but for the fourth quarter, like the annual rate is also affected by the state tax petitions that were refunded during the fourth quarter, so our annual tax rate for 2015 turned out to be 33.7%. We would expect it to be in a more normal range next year, around 35%, really just backing out the refund. We also would like to remind you that many of our comments are forward-looking statements and are based upon assumptions that involve risks and that the financial information presented in our release and on the call is unaudited. Future revenues and income could differ from expected results. We have no obligation to publicly update or correct any statements herein as a result of future development. You should refer to our periodic SEC filings for a description of various risks and uncertainties that could affect our future financial results. And now, please feel free to ask any other questions that you may have.
Operator: [Operator Instructions] And there are no questions at this time. Please continue.
End of Q&A:
Al West: Thank you. So, ladies and gentlemen, we feel that 2015 was a solid year created by concentrating our efforts on maintaining highly satisfied clients, growing new business events and investing in products critical to our future. Looking ahead, we intend to keep our focus on long-term growth in revenues and profits. And I want to end this call by thanking Ed Loughlin for his 36 years of significant contribution to SEI's success and the success of the institutional investor segment. And I look forward to working with Paul to continue the successful tradition set by Ed. From the bottom of our hearts, thank you, Ed. Good afternoon, everybody and I hope you have a good one.